Operator: Welcome everyone to the Resideo Technologies Fourth Quarter and Full Year 2018 Earnings Conference Call. Today's call is being recorded. [Operator Instructions]. I would now like to introduce Mr. Michael Mercieca, Vice President of Investor Relations. Mr. Mercieca, you may now begin.
Michael Mercieca: Good morning everyone. With me today is President and CEO of Resideo, Mike Nefkens and Resideo’s Chief Financial Officer, Joe Ragan. You can find a copy of our fourth quarter and full year earnings release and presentation materials on the Investor Relations page of resideo.com. Before we get started, I’d like to remind you that this morning's presentation contains forward looking statements, statements other than historical facts made during this call may constitute forward looking statements and are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward looking statements as a result of a number of factors, including those described from time to time in Resideo's filings with the Securities and Exchange Commission. The company assumes no obligation to update any such forward looking statements. Additionally during our call today we’ll refer to certain non-GAAP financial information, a reconciliation of our GAAP to non-GAAP results is included in the Company's earnings press release and also in the appendix of the Company's presentation. You can find more detailed in our 10-K which we expect to file with the SEC in the coming days, as well as our other companies filings. With that, I’d like to turn it over to our President and CEO, Mike Nefkens.
Mike Nefkens: Thanks, Michael and good morning everyone. And thank you for joining us on today's call. It's been a busy few months for Resideo and we’re off to a strong start. We completed our spinoff from Honeywell and began trading as resi on the New York Stock Exchange last October. Since completing the spin we've been out on a listening tour with many of our investors, partners, customers and ecosystem stakeholders. It is also been great to continue sharing our story about our business and leading positions in the growing end markets where we operate. I want to personally thank you for the valuable input, feedback and great ideas from all of you, which has influence the path forward for Resideo. I also feel really good that most of the disruption from the spin is now behind us and we have a solid team in place that delivered great results in 2018. I'm really proud the way the team finished the years. As I've shared in the past, this is my third spin and we are on schedule. And in some cases ahead of schedule when I compare to previous spins I've been part of. Our first fiscal year end as a public company is a great time to not only share some of our key initiatives for the year ahead, but also outline Resideo's long-term vision which we’re calling vision 2023. Now to summarize what we’re going to cover on today's call. I’ll start with an overview of our fourth quarter and full year results at both the consolidated and segment levels. Then we’ll provide highlights on our attractive end markets in our business. Third, we’ll talk about how we’re laying the foundation for a long-term vision with key initiatives in 2019 that include investment in our business and important cost redeployment to best position Resideo going forward. Then we’ll spend some time talking more about vision 2023 and what that means in terms of metrics as well as our updated 2019 guidance. So let's move to slide four, which shows highlights of our consolidated fourth quarter financial results for the business. Net revenue for the business was $1.27 billion during the fourth quarter 2018, up 5% from the fourth quarter of 2017 with 6% at constant currency. Pro forma adjusted EBITDA for the business was $136 million, up 4% from the fourth quarter of 2017. EBITDA growth was positively impacted by increased sales volumes and negatively impacted by a shift in portfolio mix, specifically faster ADI growth and connected products growth. And lastly, looking at cash and net debt, we generated $87 million of operating cash flow during the quarter, which gives us a year-end balance of $265 million. We ended the year with a total debt balance of $1.2 billion giving us a net debt position of $936 million. This puts us well ahead of our spin plan. Now turning to slide five; we have are consolidated full your results. We delivered revenue at the high-end of the range and EBITDA above the high end of the range. Revenues for the company were $4.83 billion, up 7% or 6% in constant currency. Pro forma adjusted EBITDA was $476 million, up 15% year-over-year, driven primarily by increased sales volume. Adjusted net income was $303 million, up 24% positively affected by the 2018 U.S. tax reform with some drag from the aforementioned shift in portfolio mix. Our team did an amazing job in the wake of the spin and the results were a testament for all their hard work. The team has proven they can deliver in a very difficult and complex environment. And now post-spin we are well-positioned to do even more, all building on Resideo’s unique and special position with 150 million home installed base and 110,000 do-it-for-me professional contractor network. Now, let’s dig into slide six, and take a closer look at our segment performance. As noted last quarter you'll see a fairly even split between our product and distribution business. Products and solutions segment revenues were up 4% in the fourth quarter, 5% at constant currency. For the full-year P&S revenues were up 6% on a reported basis in 5% at constant currency. The segment operating profit was lower by 20% for the quarter impacted by one-time spin cost of $23 million which we left in the segment numbers. Even with the spin cost P&S segment operating profit for the year was 8% higher than 2017. In addition to successfully completing the spin, we also launched some terrific products in the fourth quarter including our market moving next generation security platform, universal heat pump defrost controls and the T9 and T10 thermostats. Regarding our ADI business which is the Global Distribution side, segment revenues were up 6% for the quarter, 7% at constant currency. For the full year Global Distribution segment revenues were up 7% on year, 6% at constant currency. Global Distribution operating profit grew by 21% for the quarter while operating profit for the year was 13% higher than in 2017. We launch key partnerships with smart home suppliers including Arlo, Amazon, Samsung, Netgear, ESC and Google and we were also recognized by TrendNET for exceptional sales performance, again, a really solid year and a great start as a standalone company. Now, let's talk about where we’re going beginning on slide seven. With our first fiscal year in the books we wanted to use this Q4 call to explain why we are excited about our long-term growth prospects starting with our end markets. Our end markets as we thought about them under Honeywell are shown here as current target market. Now that we’re standalone company we have set the foundation for long-term strategy and see a compelling opportunity to evolve our offering even further toward the fast-growing residential IoT market, which we believe will be a nearly $100 billion market by 2023. As you can see our end markets are sizable, attractive and growing quickly. We are gaining share your compelling combination of best-in-class products, unparalleled ability to access key distribution channels in a premium name under the Honeywell home brand. When we think about what fundamentally underpins our business, our long-term belief is that people will continue to invest in their most important asset, their homes. Whether our end market consumers are buying homes, building new homes or remodeling and modernizing their existing homes we are well-positioned to serve them. We understand that different economic conditions may favor new build while others favor remodel, but we’ll be there regardless. We will leverage our 150 million home installed base at our 110,000 do-it-for-me professional contractor network. We have a great position in these markets and look to gain significant share in the residential IoT market to accelerate our growth. Now slide eight shows how we expect to grow more of that market share in the future. And we are closely focused on building a Resideo that will be the player in the market. We're redefining and changing what a connected smart home experience will be, specifically our goal is to connect consumers with the do-it-for-me professional contractor channel to provide a safer, more comfortable and healthier home. Comfort and security are already scaled core businesses for us now. However, we believe you cannot have a holistically healthy and safe home without expanding our offerings to include adjacencies such as indoor air quality and water leak detection. Our goal is to offer not only individual products but compelling subscription offerings in all of our core segments. As I mentioned, one of our core strength is our relationship with the do-it-for-me professional contractor or Pro channel. We have long-standing relationships with 110,000 professional contractor which gives us a leadership position in a wide moat in the marketplace. Nobody else in the market has Resideo’s comprehensive line of products coupled with the long-standing and intimate relationships we have with our channel partners. We are connecting to do-it-for-me channel to consumers and see a bright future as we deepen and broaden the connectivity of this network. Our heritage is about innovation that matters to all homeowners. We pioneered many of the key safety and comfort technologies that have reached mass-market adoption in the home. We are focused on building up on this track record. Resideo has a strong roadmap with enhanced connected products and solutions that take connectivity in the home to the next level with the power to enrich our daily lives. Finally, looking ahead we recognize the importance of recurring revenue. Our focus is layering on faster growing, higher margin recurring software revenue in all four of our product and solution businesses. Now let’s move to slide nine. These are the key foundational initiative setting Resideo on a path towards our long-term goals. So as an organization we are only as good as our people and culture. So I’ll begin by highlighting success in hiring world-class talent. We recently name Niccolo de Masi as our new President of Products and Solutions and Chief Innovation Officer reporting directly to me. Niccolo’s background running and growing lien consumer facing technology software companies making the perfect addition to Resideo team as we execute our growth strategy. Also I'm pleased to announce the hiring of Erik Bethke as VP of Mobile Apps reporting to Niccolo. Erik has extensive experience in the gaming industry and he is tasked with building a new team to further develop our consumer facing app and end user experience. He will be spearheading our developer team at the Austin headquarters. Lastly, late last year we hired Pat Murray as Vice President of Integrated Supply Chain to lead the modernization of our global supply chain. Now to power of growth we have an exciting slate of product and software lodges planned in 2019 around our core segments of comfort and security. The total cost of our growth investments in 2019 is $90 million gross and $30 million net as we are diverting $60 million of current product development and people dollars towards theses critical foundational investments. This will spearhead our innovation drive with a push to take quicker share. As a result our overall R&D spent will therefore growth to approximately $135 million, this investment includes expanding our scaled comfort and security platform to include adjacencies such indoor air quality and water leak detection. We plan to expand in our roadmap in more detail during our Investor Day later this summer.  Now moving to the third area, while our spin related cost base came in higher than expected and put some downward pressure on our next term EBITDA we are already action to optimize the cost base and operating footprint we inherited from the spin. Those actions are starting the Americas and we plan to move outside of the Americas by the end of 219. We expect this program to eliminate 50 million in overhead cost by the end of 2019. We have modeled in marginal impact in 2019, but expect a full $50 million benefit in 2020. When completed this work will leave us with leaner, more agile and competitive company. Our fourth key initiative and you’ve heard us talk about this before, involves small strategic tuck-in acquisitions to power our inorganic growth strategy in the areas mentioned before. I want to spend a bit of time on this. I want to provide clarity on how we’re thinking about acquisitions. Our vision is to broaden our products and solutions segment into new and complementary verticals to a new product, technology and business additions. We’re most interested in companies with products that can leverage our distribution channels all round out our connected portfolio. These are innovative and high-growth businesses that need our channels for global reach. We have those channels. While I can’t get into these specifics right now, I can say that we are actively in discussions with several exciting opportunities for either strategic partnerships or outright acquisition. Our inorganic focus is on enhancing our software and data services capabilities and recurring revenue models. So to summarize, 2019 is a foundational year for Resideo where we are taking critical steps toward our long-term vision for value, creation and growth, that includes accelerating revenue growth and rapidly expanding adjusted EBITDA. Now let’s turn to slide 10. I’m going to provide succinct overview of where we're headed by 2023. Joe will walk you through our updated guidance for 2019 in just a moment. So, I’ll focus on the longer term vision. If you focus on the 2023 call, the actions we’re going to take now, we believe will result in delivering a 7% to 10% long-term annual revenue growth more than double high margin annual recurring revenues and most importantly drive pro forma adjusted EBITDA to over $700 million. With that, I'll now turn over to Joe to talk more about our updated expectations for 2019 and our 2023 vision from a financial perspective.
Joe Ragan: Thanks Mike. 2019 is a foundational year for Resideo. We are establishing our strategy and roadmap for long-term growth. We believe there are compelling opportunities for us to focus on and invest in today that will set the stage for even stronger results in the future. To address these exciting opportunities we are adjusting some of our initial assumptions and expected spin to ensure that we are executing today to achieve those targets. So how does that translate into our assumptions and guidance for 2019? For growth, we're guiding in the 2% to 5% range, ultimately, we're still targeting the 4% previously stated. However, in light of some moderating housing metrics and unusual seasonality we expect our growth to be more second half weighted and therefore believe arrange for the year is more prudent. We’re expecting to deliver annual recurring revenues of greater than $100 million this year and we’re guiding to an updated pro forma adjusted EBITDA range of $410 million to $430 million, which takes into account our updated revenue expectation and planned growth investment. It includes a marginal impact from the cost initiatives, Mike previously discussed, which will primarily impact 2020 and beyond. Slide 11 provides more detail around how we’re thinking about adjusted EBITDA growth over time. Let me provide some further color on how we achieve our 2023 EBITDA goal. As we look ahead, we expect to significantly grow our adjusted EBITDA to over $700 million in 2023. We break out the significant adjusted EBITDA growth into two buckets; ADI margin expansion and growth and expected products growth. We expect ADI to contribute an additional $106 million annually in EBITDA over the next four years. And on the product side we expect an additional $188 million annually of EBITDA over the next four years. This will be driven by our focus on innovation and R&D and continued new product in recurring revenue launches. We also expect additional growth through M&A where our focus remains on small strategic tuck-in acquisition that further strengthen our position in our core markets as Mike outlined earlier. Finally on slide 12, we have a snapshot of our updated 2019 full year guidance, some of which I’ve just covered. For full year 2019 we are guiding to growth between 2% and 5% and slightly lower margin due to a combination of the broader market moderation, a shifting product mix and increased investment in the future. Longer-term our annual growth target will be in the high single-digits after our plan investments are in place. With respect to EBITDA margins we’re expecting approximately 11% excluding the Honeywell reimbursement agreement payment and 8% including. We previously referred to this as an environmental payment but following the spin in light of the fact that we do not have an environmental liability, we will be referring to these as the Honeywell reimbursement agreement payments going forward. We anticipate our EBITDA profile will be 40% weighted to the first half of 2019 and 60% weighted to the back half for the year. We expect our R&D expense to be approximately $135 million in 2019 enabling us now that we are a standalone company to focus on innovation and product development. We believe there are compelling opportunities for us to further enhance our market leadership position through the development for our proprietary Resideo product line and we're committed to investing in those opportunities as we believe will deliver the greatest return long-term. Finally, I'd like to spend a couple minutes on how we’re thinking about capital returns and capital allocation broadly. Given the key initiatives we’re executing this year as we drive towards our long-term vision 2023, we believe it is more prudent for now to prioritize investing in growth and meeting our deleveraging target in 2019. The total cost of our growth investment in 2019 is $90 million growth and $30 million net as we have diverted $60 million of current internal costs towards these business critical initiatives. We’re committed to a strong balance sheet and our solid cash flow will help us delever. We’re continuing to work towards a long-term target of two times. Over time we expect to take a balanced approach to capital allocation in a way that best benefits our shareholders. Our expectations around CapEx and tax rate have not changed. I also note that these figures do not include the $50 million of cost initiatives we are currently planning. We will update you on our progress going forward on the timing and magnitude of the cost initiatives with the expectation that these savings will be fully realized in 2020. With that, I'll turn it back over to Mike to close out.
Mike Nefkens: Great, Joe. And thank you to everyone who joined us for today's call. To close, I’ll leave you with a few key takeaways about our business and why we’re positioned to drive shareholder value well into the future. First, we came out of the spin on time and delivered on the high-end of the range for 2018. This includes revenue, EBITDA and cash. This team knows how to execute. So I'm confident that we have the leaders and team in place to deliver on our vision 2023 strategy. Second, our innovative product pipeline and focus on doubling our high margin recurring revenue stream will further solidify our existing market leadership. Third, our 2019 initiatives are designed to deliver EBITDA and revenue growth to 150 million home installed base in our network of 110,000 do-it-for-me professional contractors setting us up for our drive to vision 2023. And lastly, our financial position is strong and our healthy balance sheet will allow us to be opportunistic and aggressive in our growth strategy. Thank you again for your interest in Resideo. Now, I’ll turn it over to the operator to begin Q&A. We welcome your questions.
Operator: Thank you. [Operator Instructions].
Michael Mercieca: [Indiscernible] should you allow us to cover as many questions as possible? And I will need to limit call as to one question and no follow-ups at this time. We will of course follow-up with calls and meetings with many of you. And so I want to open it up. Our first question is from Ian Zaffino with Oppenheimer.
Ian Zaffino: Very good fourth quarter, but I want to dig into the guide maybe a little bit on 2019 which was not exactly what we’re expecting. But give us an idea of the increase in investment -- why now and how we expect to see investments going forward and maybe the returns of the investments? I know you have the outlook for longer-term. But how do we expect to see this kind of progress? And again, why now? Thanks.
Mike Nefkens: Hey. Thanks for the question. So, you’re right. There is a lot in there. And there’s a lot of pieces from executing a very solid 2018, very proud of the cash that was generated at the end of the year. As you guys know with the spin this effectively is the first time that we’re having all of our costs under our control. So there is a lot in here. And we are at a strategic inflection point. I would tell you that we are at or ahead of where I expected to be. This market is moving really, really fast. And my biggest concern in the past is when I been asked is been no our ability to operate its speed versus industrial speed. And I didn't want to wait. I didn't want to just sit around and just keep going in 2019. So we made the decision to be more aggressive on cost-cutting which we’re going to go do, which we said here. I feel that'll make us a leaner faster company and we made the decision to pull some investments forward from 2020 into 2019, and that's why we're investing more. So -- and this is not about just helping us keep where we’re at. This is about helping us get ahead. This is about leaping ahead and moving from operating at industrial speed to operating at IoT type speed. That's why we’re doing what we’re doing. We are more excited than ever before about the opportunity in the market. These investments like pulling forward, our platform launch in comfort that we’ve planned for 2020 into 2019 is going to give us the ability to change some of the revenue models that we have into subscription services that’s going to give us the ability to grow recurring revenues quicker and frankly offer a much more compelling set of offerings to the market this year and 2019 versus waiting till 2020. That's why we're doing what we doing. So we are on our toes. We’re moving forward. We’re moving fast. And we’re confident that raising the investment cycle that we’re in right now are going to give us a much better returns quicker than if we just basically waited to the end of 2019.
Ian Zaffino: Okay. Thanks. And then also, can you just touch upon maybe some of the feedback you’re seeing on T9 and T10. Also may be – when you look at kind of your new products at connected, total solution product that you’re probably going to launch, what’s sort of differentiate yourself? It's a relatively crowded playing field. So, why would a consumer use you guys compared to anyone else? Thanks.
Mike Nefkens: Yes. So a couple parts of that. So first off, we have 110,000 contractors out there. And our job is to match the consumers to these contractors. Right now, it is very difficult to get to the -- what we call the do-it-for-me channel. You basically have to go search for somebody start calling around. So you're going to see us being much more of a matchmaker where we are able to connect the 5 million connected users we have to our contractor base. Think of us more as a home advisor type company where we’re going to be able to connect the end user to the contractor. That’s step one. Step two, and that's we’re accelerating the investments this year is we’re going to not only offer the product, we’re going to offer subscription services behind these products in the four areas we mentioned. Comfort, which is a thermostats and focused mostly on energy savings in the home. The second area will be indoor air quality. The third area will be security. And then we have bought no water and safety. So, we’re going to change the model this year and that's why we’re accelerating investments to flip the model to more recurring, more subscription type services. We’ve got to make some pretty major updates to the digital side of our business. And we’ve got to make some pretty major updates to some of our applications. Again, these are things that nine months ago we’re on the 2020 roadmap and we pull those forward into 2019. And again, this is all about getting ahead. We feel. We have the momentum. We have the people. We have the engineers to actually make that moonshot and get ahead now. And we want to take advantage of that. And that's why we’re doing what we’re doing.
Ian Zaffino: Okay, great. Thank you very much.
Mike Nefkens: Hey, thanks Ian.
Operator: We’ll take our next question from Peter Galbo with Bank of America.
Peter Galbo: Hey, guys. Good morning. Thanks for taking the questions. Just wanted to focus on slide 11 that 2019 guidance that you guys updated and put out there; I’m trying to understand two of the buckets that you kind of outlined. The first being the $25 million net inflation headwind, I would've thought that would have to ease going into 2019 just given where copper prices have gone and that it would be lapping kind of some of the tougher freight comps from the first half of 2018? And the second part, on the $30 million demand moderation, we started to see some green shoots out of some of the homebuilders even some of the other R&R focused building product company. So just any commentary you give there as to what you’ve seen so far in January and February that kind of make you see that level of moderation? Thanks.
Joe Ragan: Sure, Peter. This is Joe. On the inflation item that also includes the full impact of tariffs that are expected for the year. So we have been conservative there. I think we have seen some improvement, but overall that'll continue to be a headwind for us. On the market moderation, again, we're just looking at any different factors out there. And you're being fairly conservative there as well. So, I think you're right, I mean, there have been some green shoots, most recent housing start number was a little bit down and we’d actually included that in our outlook. So, I’d say, these are relatively conservative numbers taking into account everything that’s been reported to-date.
Peter Galbo: Got it. That’s helpful. I mean, I think when we think about it we’re looking kind of at the order trends that builders have reported, so maybe there’s a disconnect on a go forward basis relative to the start number that have been reported. Just maybe the second question, Mike, if you can give any further detail in terms of parsing out the 2% to 5% topline guide, how that looks mixed between products relative to distribution? Thanks.
Mike Nefkens: So, when we take a look at the two areas as Joe said earlier, we’re still targeting the 4%. We basically broaden the range for two reasons; one is most of our growth is and this is traditional for us when you look at the last couple years. 18 was a bit of an outlier. But most of our growth comes in Q3 and Q4 which is the start to the heating season. So that's why we’re being a bit more conservative with the year just making sure as we see some of these housing metrics and other metrics moving around that we’ve got a range out there. But we are targeting the 4% plus that we said before and we’ve got the teams that are moving heavily against that and right now, we’re confident in that range. And I would tell you, I think some of the moderation that we saw at housing, the 200,000 starts that were down here are one of the metrics that we refer to when we talk about moderation. But we’ve seen some other metrics recently that have as you said some green shoots that are showing the other way. So, we are optimistic. We’re going to keep driving and our intent is to do all possible to be at the top side of that range. Looking between the two businesses specifically right now our ADI business as we said is performing very, very well. We continue to expect them to be at the high side of the range. The big item for us this year is going to be our security business. We have the rollout for our new Global Intrusion Platform started in December. That rollout is progressing very very well with our first customers and for us to be at the top of the range. We’re going to need very strong performance from our teams in the second half of the year in GRIP. And then, the third item is going to be as I mentioned in our investments, we’re pulling forward our platform, new platform launch in our comfort business from 2020 to 2019. If we can get some of that into the fourth quarter then I would be very optimistic about where we could be from a growth perspective in our products business as well.
Michael Mercieca: Ladies and gentlemen, I just want remind you, we’re getting close to the end and we’ll just going to keep it to single question and no follow-ups. Thanks.
Mike Nefkens: Let’s go to the next question.
Operator: We’ll take our next question from Saliq Khan with Imperial Capital.
Saliq Khan: Hi. Good morning guys.
Mike Nefkens: Good morning.
Saliq Khan: Regarding the comfort and care and the security and safety as well, could you give us a bit more details around how those verticals are performing? And what are your expectations are regarding some of the investments that you alluded to as you go into 2019 and 2020?
Mike Nefkens: Yes. So, looking at the investments in our product business, so that’s we just highlighted. Obviously, our biggest investment is our rollout of our GRIP platform. That's the next generation security platform which is already rolling out. So, we have several parts of that. We've got our largest customer that comes up first. Then we have general market in the Americas. And then we moved the general market in Europe. We were not planning a European launch until 2020. We’re accelerating that into 2019 as well. So, we've got investment increase just to make that happen. That’s security. On the comfort side, as I said earlier, we've rolled out several great products; the T9 and the T10 that Ian mentioned earlier, but we are going to have a new platform launch that was planned for 2020. We’re accelerating that into 2019. All this is done to do two things. Number one, it's to accelerate our growth. And number two, it’s going to be the both platforms that are necessary for us to really push subscription services. Our older products did not have the capability to do that. They were multiple applications. This will all be under single app and we’ll be able to launch our first generation subscription services which will drive our recurring revenue north. So that is why we’re accelerating these investments. Those investments are primarily in the product segment and we’ll also be executing as I mentioned in my prepared remarks a few tuck-in acquisitions as well to give us other IP and products that will help us bring those subscription services to market.
Saliq Khan: Great. Thank you.
Operator: Our next question will come from Kim Opiatowski with Oscar Gruss.
Kim Opiatowski: Good morning. Thanks for taking my call. Just wanted to flush out little bit more with regards to the growth capital that you’re pulling into 2019? Can you help us think about how we should think about margins going forward giving that you’re pulling $90 million growth and looks like another $50 million one-time charges with most of that $90 million being a kind of out of the expenses. How should we think about the timing of margins going into 2020? Will margins go back to where they were before? And then how do we get to that? It looks like you’re implying potentially a 13% gross margin into 2023? So how do we think about the timing of that through 2019 and beyond?
Mike Nefkens: Yes. So, let me start with the business part of that and Joe, I’ll turned over to you for the margins here, we'll tag team that. So first off, the $90 million of investments; what we've done is if you take a look at chart 11, there's only 30 million of that is incremental. We have worked very hard for this about $60 million of spend, so that is – those are projects that we’re to halt. Those are people we’re moving over into these new initiative areas to really be able to execute on the $90 million. So we've been very smart about how we redeploy costs internally. So, we’re basically going to be able to pull things toward 2020 into 2019 and we’re doing that with the $90 million. The $50 million you refer to is actually not additional expense. That is a cost that we will be exiting this year to basically trim our overhead. So in a spin you're basically giving your cost base by the company that spun you. Now that we have our own P&L, we have identified many areas of cost that we can drive out. It's going to take some time and effort because it's not easing. A lot of that is doing some changing of business processes, the way that we do new product introduction, lot of other pieces. So that's why we’re guiding to seeing the full benefit of that in 2020 as we go forward. So, all of those things are designed to help us drive improve margins. Now as we roll out new platforms there's a lot of beta testing, there’s a lot of expense upfront before we get the revenue. So the new platform launches gives us a bit of a headwind and then the cost-cutting that we just talked about and the new subscription revenues et cetera will give us a margin tailwind. So those two things together will get us back to where we want to be margin wise in 2020. So Joe, do you want to add any details there.
Joe Ragan: Sure. Kim, the margin uplift for next year when you add in the incremental EBITDA that we’ll get from the cost take out, as well as having gotten through that initial investments about 150 to 200 basis points. And we are very focused out, naturally just the products business outside of that the ADI businesses is expected to really perform much stronger and we’ll see margin uplift there as well. So, when you're looking at 2021 it's 150 than 250 basis point uplift from where we are today.
Michael Mercieca: Right. Ladies and gentlemen, this will be the last two questions that we’ll be taking this morning. Thanks.
Operator: Our last question will come from Jeff Kessler with Imperial Capital.
Jeff Kessler : Thank you. Recently there was – there’s been a number of court rulings regarding let’s call it, false alarms particularly in the South in the Atlanta region. And I'm wondering what you folks are doing to – since the number of your clients are -- a number of your dealer clients are in that area and this will probably spread across United States with regard to making sure that these are better verification. What tools have you been developing and you’ve shown some of the trade shows. What tools have you been developing to go into the marketplace and make sure that your client base is not going to be hit by my onerous fees and charges and better police response?
Michael Mercieca: Yes. So thanks for the question. And look, I think we’re always working with our dealers, right to help them eliminate false alarms and to help them obviously not have to roll trucks et cetera. I mean, we're working on a lot of support verification, most of that is a video motion viewers. And this is actually why we are confident that our products are the best products in the market. The problem with a lot of the do-it-yourself products out there is that they don't have video motion viewers. They don't have the connection to the central stations that we have. So in this case we feel that our products are the strongest in the market and provide least number of false alarms and it's something that when she pushing with our dealers to actually move customers from a lot of the DIY products that are causing these false alarms to our products that are much more pro-grade type products that will actually help the dealers eliminate these issues.
Jeff Kessler : Thank you very much.
Michael Mercieca: Yes. We got time for one question more. We’ll do one more then we’ll wrap it up.
Operator: At this time, there are no addition callers for questions.
Mike Nefkens: Okay, great. Well guys let me close real quick. This is Mike. So, as I said at the beginning of my prepared remarks, we had spent a lot of time listening to all of our constituents from our customers to our investors, to our employees. We have heard very clearly from our customers that they are excited about Resideo. They love our products. But they want us to move faster. We have to get out of this industrial pace and get into a higher pace. As a result of that we are moving faster. We are accelerating a lot of the investment that we had planned for 2020 into 2019. We're making aggressive cost moves to right size our cost structure post spin. And I can tell you I couldn't be prouder of the team and where we are right now. We delivered our numbers in 2018 as we said we would and we are going to deliver on the growth and margin expectations we have put out here. You can expect some very exciting news from us happening later this summer about what we’re going to be doing on a subscription side and how we’re going to be more than doubling our recurring revenues going forward. And it couldn't be a more exciting time for Resideo. So thank you for the questions today. Thank you for the time and looking forward to our next session.
Operator: That concludes today’s call. Thank you for your participation. You may now disconnect.